Unidentified Company Representative: Thank you for participating in the investor meeting for 2023 full year results at Japan Tobacco Inc. today. Before we start the meeting, I'd like to ask you to make sure that your display name is accurate. Thank you very much for your cooperation. In today's meeting, first, Mr. Terabatake, Chief Executive Officer of the JT Group will introduce you business plan 2024; and Mr. Eddy Pirard, CEO of JT International will follow who explains Tobacco business 2023 results and 2024 outlook. Lastly, Mr. Furukawa, Chief Financial Officer of the JT Group will explain JT Group 2023 results and 2024 forecast. Then, we move on to Q&A session, and this meeting is scheduled to end at 6:30 p.m. Now, I'd like to introduce you the first presenter Mr. Terabatake, please.
Masamichi Terabatake: Good afternoon, and welcome to Japan Tobacco's 2023 Full Year Earnings Call. I'm Masamichi Terabatake, President and CEO of Japan Tobacco. Thank you for taking the time to attend today's financial results briefing, and I am grateful for your continuing support and encouragement. Before diving into the results, I would like to express my sincere sympathy to the victims of the human tragedies and devastations unfolding globally whether in Ukraine, Sudan near Eastern Japan. I want to assure you that, the JT Group continues to place the highest priority on the safety of our employees and their families and is extending all possible support to affected populations. Today, I will begin with an overview of fiscal year 2023 followed by our mid- to long-term strategy, and the strategic role of each of our businesses. I will also share details about the profit growth outlook across business plan 2024, and I will provide an update on our sustainability programs JT Group Purpose and D-LAB. Eddy Pirard, CEO of JTI will give an overview of the 2023 Tobacco business performance; and Hiromasa Furukawa, CFO of JT Group will explain our consolidated results for 2023 as well as the forecast for 2024. Let me begin with an overview of fiscal year 2023. We recognize that 2023 was a challenging year with the global business environment remaining volatile due to geopolitical instability increased supply chain costs associated with inflation and large currency fluctuations. Despite this environment, all our businesses not only exceeded the results of the previous year, but surpassed the initial guidance provided at the beginning of 2023, and reached an all-time high performance from revenue to net income. In the Tobacco business 2023 marked the second year of the combined Tobacco business management structure. The results of this integration supported by an optimized allocation of resources and a stronger collaboration are now very visible as you will hear from Eddy. In Combustibles, the pricing contribution remained a growth engine. At the same time, we maintained strong market share momentum through a balanced portfolio and strong brand equity. In RRP Ploom X accelerated its geographic footprint expansion reaching 13 markets at the end of 2023. In the Japanese market, Ploom X continued to grow reaching our HTS segment share of 11.4% as of December last year. Our focused investment in HTS are steadily contributing to the volume performance of our business. The Pharmaceutical and Process Food businesses also continue to complement the group's profit and delivered solid year-on-year profit increases. Based on the 2023 result and our shareholder return policy, we will increase the year-end dividend by ¥6 from the previously announced forecast to ¥100 per share for 2023. Including the interim dividend of ¥94, the annual dividend per share for 2023 is expected to be ¥194. Next, I'd like to introduce our Business Plan 2024. First, let me confirm that there is no change in our resource allocation policy, which is based on the 4S model and the JT Group purpose. We will continue to place the highest priority on business investments that lead to sustainable profit growth. As a result, our main investment focus will remain the tobacco business in order to grow AOP at constant FX by achieving high-quality top line growth creating incremental value and satisfying consumers and society. I am confident that the growth in AOP driven by the benefits of business investments will contribute to the net income increase over the medium to long-term enabling us to reach a balance between profit reinvestment needs and shareholder returns. Turning to the group's mid to long-term target and the strategies of each business. Despite external challenges, we remain committed to sustainable profit growth over the medium to long-term. Specifically, we aim to deliver a mid to high-single-digit average annual growth in AOP at constant FX. During Business Plan 2024, covering the three years from 2024 to 2026, we expect the growth rate of consolidated AOP, on a constant currency basis, will be mid-single-digit which is the lower end of JT's growth algorithm. While we expect the flat year-on-year growth in 2024, the growth rate is expected to increase in 2025 and to rise further in the later part of the business plan period. The business environment in the Tobacco business is expected to remain challenging due to the continued decline in industry volume and down-trading. Other factors impacting the Tobacco business include geopolitical instability, the development and increasing complexity of regulations taxes on RRP, and intensifying competition in the markets as well as currency fluctuations. In such circumstances, Combustibles will continue to deliver top line growth and improve their overall ROI through marketing investment, pricing contributions and cost efficiencies generated within the supply chain. In RRP, we will prioritize reinvestment of profits generated from Combustibles towards HTS, which is expected to be the fastest-growing RRP segment. Infused, Oral and E-Vapor remain positioned as an exploratory category. Consequently, investments in these segments will be selective with a flexible approach based on future market potential. In terms of key organizational capabilities to support these efforts, we will further promote consumer centricity strategic advocacy innovation in RRP and sustainability. For the three-year period beginning in 2024, AOP growth rate at constant exchange rate is expected to be mid-single-digit due to increased investments towards RRP, especially in HTS. On the other hand, through improved ROI in combustibles and top line growth in RRP, the growth rate is expected to increase over the second half of the plan period. In the Pharmaceutical business, we recognize that the business environment will remain difficult, mainly due to significant pressure for drug price reductions. Despite these challenges, we intend to continue to contribute to the group's profits through research and development of next-generation strategic products and the value maximization of each product. We expect to maintain a stable profit level during the three-year period. In the Processed Food business, we acknowledge that the overall market size of the domestic processed food industry is online expansionary trend due to factors, such as the growing need for simplification in line with changing lifestyles. Overseas, the market is growing remarkably due to population growth and rising income levels. Business opportunities are also increasing, following the incremental global demand for Japanese food culture. This environment supports our ambition to grow profit sustainability centered on top line growth by strengthening allocation resources to high value-added products. We aim to achieve mid single-digit profit growth during the three-year period. From Slide 7, I will guide you through the business plan 2024 outlook for both combustibles and RRP in the Tobacco business and why we expect AOP to grow mid single-digit. First let us talk about Combustibles. As you can see on the slide, during the business plan 2024 period, we expect to outperform the industry trends both in terms of volume and revenue. While we expect overall industry volume to continue to decline, we see a continuing trend of market share gains partially offsetting this with pricing in our key markets primarily driving top line growth. We expect pricing to continue to be the driver of top line and profit growth over the next three years. In terms of margins, we continue to reduce costs strengthen our brand portfolio focus on global flagship brand and leverage the market types, we presented at the Tobacco Investor Conference in May to improve ROI. Moving to RRP. As you are well aware, there are a variety of products in the RRP category highly dependent on consumers' preferences. For example, HTS is successful in Japan, E-Vapor is popular in the U.K., while oral is well accepted in Scandinavia. However, our industry projections show that HTS is already today the largest RRP segment in value, and will continue to develop all the way to 2035. The growth rate is projected to be the fastest among RRP categories. Accordingly, we have positioned HTS as our top investment priority. We accelerate growth in this category through major such as strengthening our global presence as I'll explain on the following slide. Specifically, from the perspective of revenue, our RRP-related revenue is expected to increase by approximately 2.5 times compared to 2023 driven by the increased footprint and the sales volume. This outlook exceeds the estimated industry growth rate of 13.5%. Moving to Slide 9. Investment in RRP have been consistently executed to enhance the HTS pipeline and expand our presence outside of Japan. We continue our focused investment in HTS. These investments are primarily for commercialization purposes. While I cannot discuss details at this time, I can share that the majority of the investment will support the introduction of the new HTS devices, the geographic expansion of the current Ploom X and to gain segment share in existing markets, while addressing the intensified competition. In terms of geographic expansion, we expect to cover approximately 80% of the total global HTS demand by the end of 2025, and Ploom X to be available to adult consumers in more than 40 markets by the end of 2026. While investment ramp-up, we expect a gradual improvement in the profitability of the RRP business in the later part of the business plan period driven by the top-line growth and enhanced productivity taking into account the results to-date and the expectations from business plan 2024. I can confirm that we are on track to deliver on the two ambitious set for 2028. In his presentation Eddy will speak on the ambition of achieving mid-teens HTS share of segment. I will now explain our sustainability initiatives. We have recently put in place a new sustainability strategy based on our purpose, which had been formulated last year and I'd like to provide some more details today. We believe that as nature society and people's lives are intertwined, sustaining our ways of living and the activities of entities will depend on the sustainability of the environment and the society in which we exist. By realizing the JT Group purpose we'd like to contribute to the sustainability of our environment and our society. In May of last year, we revised the JT Group materiality and selected five topics of materiality as a foundation for our sustainability management. Furthermore, based on the revised materiality, we have been working on specific goals and initiatives for the JT Group. We have now set the JT Group sustainability targets consisting of a total of 25 items. Let's proceed to the next slide. In setting specific goals and initiatives for the JT Group's sustainability target, we focused our attention on the relationships and ties with the revised materiality, while also including past initiatives. For example, in pursuing our materiality, living with the planet we perform a comprehensive assessment on the impact of the JT Group's business on the ecosystem with a view of preserving biodiversity. Furthermore in relation to our materiality, investing in people and provide motivation, we have set multifaceted targets with the aim of further expanding our human capital. Please visit our website for details on the targets and initiatives associated with each item. The essence of the new sustainability strategy based on the group purpose is that people's lives, society activities, entities and activities of all humans are part of the ecosystem. As a company responsible for creating the future JT Group is determined to proactively work on resolving social issues. As CEO, I'm involved in setting and managing the new sustainability strategy along with other Board members. As part of managing the JT Group sustainability target, we revisit these targets regularly so that they can be further evolved. Furthermore to enhance the penetration and practice and purpose, we have strengthened the initiatives throughout the year including visits to locations by the management team and the dialogue with employees. We are now in the process of laying the groundwork to take action towards realizing our purpose by incorporating views from not only internal, but also external stakeholders. Through these efforts the new purpose has been steadily taking roots in the organization placing us on the path to the realization of our purpose realization of which will strengthen by delivering on the management plan through the implementation of the action guidelines and execution of each business strategy. In addition, we have established D-LAB, a corporate R&D initiative which conducts research and seeks to create future business opportunities focusing on the concept of fulfilling moments enriching life. As such D-LAB will also support the realization of our purpose. The activities of D-LAB aim to contribute to nurturing our purpose in society from a long-term perspective. At the same time, D-LAB is striving to contribute to the profit growth of the JT Group managing approximately 100 projects through trial and error. Some of the outcomes of these initiatives include the product sales of the breathing cushion hopefully through crowd funding which received the innovation award at CES 2023, the world's largest technology exhibition held in Las Vegas last year. Expansion and the availability of the product Stone-S [ph] that supports the habit of deep breathing in various retail outlets and the recognition of the new technology Cold Roll [ph] at CES 2024 Innovation Awards, leveraging the natural colors and the sense of the plant materials. While these results are still embryonic, the achievement are gradually becoming tangible. On the long-term perspective, we intend to continue all kinds of corporate activities that are more progressive while staying close to our customers and society. In the process we won't limit ourselves to the current stake of the JT Group but make sure that all opportunities provide value in the form fulfilling moments enriching life. With that I will conclude my presentation. Next, Eddy the CEO of JTI will provide an explanation regarding the Tobacco business.
Eddy Pirard: Thank you, Terabatake-san and good afternoon to you all. It is my pleasure to present today the 2023 performance review of JT Group's Tobacco business as well as the outlook for business plan 2024. Let me start by saying that I'm delighted to report that we have completed the combination of the two Tobacco businesses, which started early 2022. This integration has made us stronger, more efficient and more effective as you will see from our results. In January, we completed the systems integration, the last step of the combination, which will strengthen our operations on a global basis. I would also like to echo Terabatake-san's words. My thoughts and sympathies go to all affected by wars and natural disasters, we genuinely hope for a brighter year. I will now focus on our 2023 performance and Furukawa-san will cover our financials later on. I am thrilled to share that our business achieved outstanding performance in 2023 with an even stronger focus on delivering superior consumer experiences and coming together as one team. The dedication, hard work and resilience of our employees has again propelled us forward even in the face of global turmoil and uncertainties. Our tobacco volume including all combustibles and RRP products grew, despite the industry volume contraction. Our positive performance was driven by global flagship brands and RRP, which resulted in positive volume trends in 50-plus markets. We continued to invest in our global flagship brands, which in turn has fueled exceptional combustible growth. GFB volume continued to increase to 72% of total volume. That is a 10 percentage point increase in five years. Notably, Winston and Camel volume increased double-digit in 35-plus markets. We accelerated our investments behind RRP, driving continued Ploom X share of segment gains in Japan and completed our geographic expansion to cover 13 markets in total. These efforts which were mostly second half weighted resulted in a double-digit volume increase setting the stage for continued progress in RRP. Let me elaborate more on the key drivers over a strong 2023 performance. Once again, our global flagship brands were at the core of our growth with both Winston and Camel reaching remarkable milestones. Winston crossed the 200 billion units marked for the first time, growing 8.1% versus 2022 and further strengthening its position as the second largest international brand. Winston's significant growth was driven by the strength of its brand equity fueled by superior propositions and innovations. These include new SKUs with super slims formats and flavored capsules under the Winston Compact and Winston excess brand families. Key markets driving the positive performance were Turkey where Winston outperformed the positive industry volume evolution and Italy, where Winston grew market share by 1 percentage point in a declining combustibles industry. Camel reached the significant milestone of 100 billion units shipped in 2023, increasing 17.5% versus prior year. This made Camel the fastest-growing international brand in combustible. It is now the number three international brand up from the number six position in 2021. Camel's solid performance was fueled by its strong brand equity competitive portfolio and geographic expansion in new markets. The iconic brand further expanded its reach to flavor and low tar seeking consumers with the new Camel Activate and Senso brand families. Key markets driving Camel growth include the Philippines where new SKUs were launched in late 2022 Japan, Russia and Indonesia, where Camel cigarettes and Kretek propositions are resonating well with consumers. This volume increase, also drove value growth with both Winston and Camel growing share of value by 0.7 percentage point, performance fully in line with our strategy to improve the ROI of our Combustible business through disciplined revenue growth management. The strong volume performance was also driven by a robust market share momentum across our entire geographical footprint. Our share in combustible and heated tobacco combined grew by 0.5 percentage point versus previous year, fueled by the excellence in execution and by decades of sustained investments behind our brands. Our portfolio architecture helped adult consumers in navigating the offering across different price points and product categories including cigarettes, fine cut tobacco and heated tobacco. Not only share reached record high with gains recorded in 50-plus markets, but all three clusters positively contributed to the combustibles share growth. In Western Europe, we grew our share in Combustibles for the fifth consecutive year, led by Belgium, France, Greece, Italy, Luxembourg, Netherlands, Portugal and Switzerland. In Germany, the largest profit pool in the cluster, we continued to grow share reaching 10.9%. In Asia, where Combustibles market share increased by 0.6 percentage points, we grew share in more than 10 markets, notably in Bangladesh, Japan, Malaysia, the Philippines, Singapore, South Korea and Taiwan. Mevius was one of the fastest-growing international brands in the premium segment. In EMA, our largest cluster, more than 30 markets contributed positively to Combustible market share gains of 0.8 percentage point including Brazil, Canada, Jordan, Kazakhstan, Romania, Saudi Arabia and the US. LD recorded a strong performance in the cluster growing share in Algeria, in Canada, Croatia, Czech Republic, Jordan and the US. The performance was equally robust in our key markets. In Italy, both combustibles and RRP grew share bringing total share to 23.2%, up 0.2 percentage points versus prior year. Winston and Ploom were our best-performing brands in the market. In Japan, share gains drove a positive volume variance. Mevius and Camel confirmed the position as number one and number two combustibles brands, complemented by continued share increase by Ploom. I will detail our HTS performance in Japan in a few minutes. The Philippines grew an impressive 3.9 percentage points in market share to reach 42.4% fueled by Camel, which became the fourth largest brand. We're very much encouraged by the substantial progress realized since the acquisition in 2017. Taiwan exceeded the 50% market share level, which represents nearly 3.6 percentage points of share growth over the past five years alone. Key drivers in 2023 were Winston and LD, which grew share by 0.5 percentage point and 0.3 percentage points respectively. In the UK, although market share declined slightly, we maintained our leadership position in the market at 43.7%. Let's move on to pricing. 2023 marked another record year with JPY144 billion of favorable price/mix variance to core revenue. This performance demonstrates once again the resilience of pricing in combustibles and enabled us to more than compensate the cost increases due to the macroeconomic and geopolitical environments. Focusing on pricing more specifically, key markets like the Philippines, Romania, Russia, Spain and the UK supported our top line expansion along with many others notably Canada, France, Germany, Indonesia, Kazakhstan and Poland. In terms of mix the ongoing down-trading partially offset the pricing contribution. While this was true for most markets, we also witnessed up-trading trends as was the case in Kazakhstan and Turkey. Let's now have a deeper dive in our RRP performance. Earlier I showed you an 11.8% RRP volume increase. In reality, RRP volume grew a remarkable 20.5% when excluding the discontinuation of Ploom in Russia following our March 2022 decision to suspend the launch of Ploom X and related marketing investments. RRP volume reached 8.8 billion units more than tripling versus six years ago, a positive performance fueled by two main drivers. First, the success of Ploom X in Japan where we continued to gain share in the Heated Tobacco Sticks segment, I will give more color on our performance in Japan in the next slide. Second, the launch of Ploom X in 11 additional markets during last year bringing the total number of markets where Ploom X is on sale to 13. I will share more about the new launch markets shortly. We have kept prioritizing our investments behind the Heated Tobacco Sticks segment in line with the strategy, which was outlined at the Tobacco Investor Conference last May. As a result, we grew our HTS share of segment in launch markets to 6.7% on track to meet our ambition to reach mid-teens segment share by 2028 across key HTS markets. Regarding the exploratory categories, in 2023, we launched our new infused tobacco proposition within Japan a new logic E-Vapor device in the UK and Ireland a wet nicotine pouch in the UK as well as a nicotine pouch pilot in the Philippines. While it is still early days to thoroughly assess their performance, we are planning to get more learnings by piloting selective new consumer proposition on an ongoing basis. Let's now focus on Ploom X performance, starting with Japan. Ploom X recorded continued share gains in an increasingly competitive Heated Tobacco Stick segment, reaching an exit share of 11.4% in December 2023. The HTS segment continued to increase in the total industry volume reaching 38%, driven by the new product launches and significant investments by all players. Consumers recognize the quality of our device, and the strong brand equity of our Heated Tobacco Sticks, MEVIUS and Camel which as previously mentioned are the first and second combustibles brands, in Japan. In March last year, we relaunched MEVIUS Heated Tobacco Sticks, allowing consumers to choose from a broader variety of flavors and to better personalize their Ploom experience.  Our commercial engine includes both physical and digital channels, to increase Ploom's accessibility and visibility. We constantly invest in research and development to enhance our products technology and address consumer feedback. To give an example our new Ploom X ADVANCED launched in November, delivers improved taste with a higher heating temperature and features a reduced charging time as well as an automatic heating function, features that all improve the consumer experience. As a result of our various strategies, the Ploom Solus Ratio that is the percentage of Ploom users getting 100% of their tobacco consumption was Ploom over the last month, increased by 22% over the last two years, a meaningful achievement. 2023 was the first of a multiyear geographic-expansion plan from Ploom X. It is important to note that as we had to build inventories of devices following the global microchip shortage this expansion was skewed to the second half of 2023. Outside Japan, Ploom X had encouraging early results with three markets namely Czech Republic, Lithuania and Portugal crossing the 2% share of segment in launch areas in less than six months from the launch date. In December 2023, we reached 3% and 1% share of sector in the cities of London and Milan respectively. More specifically in Italy, we expanded distribution from selected areas to national level in November. And in the UK, we were humbled to hear that Ploom was recognized with the prestigious Product of the Year Award. Since September we launched Ploom X also in Poland, Hungary, Romania, Greece, Kazakhstan and Slovenia receiving positive feedback from consumers and trade alike. We will provide more color on Ploom X performance in these markets, as the year unfolds. All in all, the 2023 performance of the Tobacco business was very strong across the board. Looking ahead, we will continue to implement our Tobacco Strategy, by growing our presence in HTS and continuing to focus on growth and returns in Combustibles. As shared earlier by Terabatake-san, we are in an accelerated investment phase to achieve our ambitions in RRP. This requires an uplift of our investment levels to drive continuous Ploom X share gains in and outside Japan, and to continue and accelerate the Ploom X geo-expansion. In 2024, we expect to roll-out Ploom X in 15 additional markets. And we will then be present in 40-plus markets by 2026, covering approximately 80% of the global HTS category volume. In Combustibles, which will continue to be the profit engine of our Business Plan 2024, our focus remains on fueling core revenue growth, building on our strong share of market momentum and GFB equity, and on margin improvement through disciplined pricing opportunities. As of today, we have already secured more than 50% of the planned pricing for 2024. We will seek continued cost containment through efficiency initiatives. These include but are not limited to the deployment of an end-to-end integrated supply chain, the simplification of our product lineup and of our IT infrastructure, as well as the further leverage of our global business services. Ultimately, our goal is to build a dual profit growth engine made of Combustibles and RRP, allowing the Tobacco business to sustainably grow currency-neutral AOP at mid to high single-digit. Given the encouraging results of the last few years and of 2023 in particular, we are confident in our ability to replicate the success story we have enjoyed in Combustibles to the HTS segment with Ploom. We very much look forward to sharing with you our progress as the journey unfolds. Thank you very much for your attention and interest in the Tobacco business. I will now hand over to Furukawa-san for the review of the JT Group financial results and forecast.
Hiromasa Furukawa: Thank you, Eddy. I am Hiromasa Furukawa, CFO of the JT Group. I will detail the consolidated financial results for 2023 and our forecast for 2024. First, let me take you through our consolidated financial results for 2023. On a constant currency basis, adjusted operating profit, namely AOP, our primary performance indicator, increased 5.2% year-on-year, mainly driven by the Tobacco business. As Eddy explained earlier, pricing contribution in the Tobacco business was strong throughout the year, outweighing the impact of higher input costs and accelerated investments towards HTS. The pharmaceutical and processed food businesses also supported the profit growth. As a result for two consecutive years, we have achieved record highs in revenue, AOP, operating profit for continuing operations, and profit for continuing operations. On a reported basis, revenue increased 6.9% year-on-year, driven by a strong business momentum in the Tobacco business as well as an increase in revenue in the pharmaceutical business. On the other hand, AOP was almost flat compared to previous year due to the unfavorable impact of foreign exchange mainly from the Russian ruble. Operating profit increased 2.9% year-on-year due to an increase in gains on sales of real estate and reduced amortization of trademark rights. Profit increased 8.9% year-on-year due to an increase in operating profit as well as lower financial costs and corporate income tax. Free cash flow increased by ¥60.8 billion to ¥443.7 billion. The favorable comparison to 2022 from the absence of payments related to initiatives to strengthen our competitiveness in Japan and lower corporate income tax exceeded the impact of the increased working capital. The following section describe the financial performance of the Tobacco business. Since Eddy has just explained the business performance in detail, I would like to focus on the AOP performance on a reported basis including foreign exchange impacts. Please refer to the graph on the lower left hand side of the slide. While total volume increased by 2.4% year-on-year, the volume contribution to AOP was negative. This was due to a lower market mix, resulting from a reduced volume composition from high-margin markets, such as the UK. On the other hand, strong pricing contributions was seen throughout the year in a number of markets including the Philippines, Russia, and the UK. These pricing benefits enabled us to offset the impact of several factors such as, downtrading particularly in our key markets higher input costs within the supply chain, increasing direct costs such as labor costs, and investment towards both Combustibles and HTS, particularly for the geo expansion of Ploom X. As we have just mentioned in the consolidated financial results, foreign exchange impacted negatively to AOP. As a result, AOP on a reported basis was JPY 749.8 billion almost the same level as the previous year. Next, I will explain the results of the Pharmaceutical and Processed Food businesses starting with the Pharmaceutical business. Revenue increased year-on-year due to a onetime income from the licensing of patented JT Compounds and sales growth in the area of skin diseases and allergens, as a subsidiary Torii Pharmaceutical. AOP increased year-on-year fueled by the revenue growth, despite higher R&D expenses. Moving to the Processed Food business. Revenue was almost flat, following revenue losses caused by the transfer of the Bakery business. These losses were partially offset by a positive contribution from price revisions, as well as an increase of food-service products, due to the recovery of eating out demand in the frozen and ambient food business. AOP increased year-on-year, as the top line growth I just mentioned, more than offset the impact of significant increases in raw materials and other costs. After these strong 2023 results, let me move to our business forecast for fiscal year 2024, starting with the consolidated financials. Core revenue at constant FX is expected to increase by 3.9% year-on-year, driven by top line growth in the Tobacco business fueled by pricing contributions. On the other hand, AOP at constant FX, primary performance indicator is expected to be flat year-on-year at JPY 728 billion. This is due to the constrained profit growth in the Tobacco business, related to higher input costs and incremental RRP related investments as well as a significant profit decrease in the Pharmaceutical business from the absence of our onetime income, related to out-licensed compounds booked in 2023. On a reported basis revenue is expected to increase 6.2% year-on-year incorporating favorable FX impact. On the other hand, AOP is expected to decrease 5.5% year-on-year due to unfavorable FX impact, driven by the cost related currencies and the several currencies from emerging markets. Operating profit is expected to decrease 3.6% year-on-year, due to the decrease in AOP and the declines on sales of real estate partially offset by lower trademark amortizations. Profit is expected to decrease 5.7% year-on-year due to the decrease in operating profit and increase in corporate income tax. Free cash flow is expected to decrease significantly mainly due to the decrease in AOP, and an increase in capital expenditures. I'd like to reiterate our policy regarding the balance sheet and the cash flow management. In managing the cash flow, we placed the highest priority on stable cash generation through top line growth, as well as efforts to mitigate the impact of foreign exchange rates and optimize working capital. In addition, we believe it is important to continue to maintain a strong financial base in preparation for potential uncertainties such as, geopolitical risks, inflation and the global economic recession. This strong financial base is key to enabling an agile business investment poster or addressing acquisition opportunities as well as ensuring business continuity across the entire supply chain. For the past 10 years, excluding onetime items such as M&A, we have consistently generated free cash flows of around JPY 400 billion, annually. Our cash equivalent on the balance sheet does include, some trapped cash as part our disclosed material. On the following slide, I will detail the forecast of each business. First is the Tobacco business, and its volume outlook. As for the total industry volume, we expect a decline for Combustibles in several markets including Japan, Russia, Taiwan and the UK. Meanwhile, we anticipate market share gains for Combustibles in many markets volume increase in global travel retail and volume growth from Ploom X geo expansion. As a result, total sales volume is expected to decline between minus 1.0% to minus 0.5% from the previous year. Core revenue on a constant currency basis is expected to increase 4.5% driven by the continued pricing contributions in Combustibles and higher RRP-related sales revenue despite the lower total volume. As Eddy explained earlier, more than 50% of the pricing contribution to be realized in 2024 has been secured by the price increases already implemented or announced. AOP on a constant currency basis is forecast to increase 2.0% driven by top line growth, although higher input costs and increased investment mainly related to RRP I expected. We actually expect an unfavorable comparison in the first half of 2024 in terms of investment toward HTS, as we accelerate the geo expansion of Ploom X compared to a limited number of launches in the first half of 2023. With regard to foreign exchange we expect the Japanese yen to depreciate against major currencies except the Russian ruble, which will result in a positive FX impact on core revenue. On the other hand on AOP currencies related to cost such as the US dollar and euro as well as several currencies in the emerging markets are expected to have a negative impact resulting in an AOP decrease on a reported basis. Turning to the forecast for the Pharmaceutical and Processed Food businesses. In Pharmaceutical revenue is forecast to decrease by ¥6.4 billion, reflecting the absence of onetime compensation gains from the license compounds, which occurred in 2023 and lower overseas royalty income, despite top line growth at our consolidated subsidiary Torii Pharmaceutical. AOP is focused to decrease significantly due to the decrease in revenue and an increase in R&D expenditures. For Processed Food, revenue is forecast to increase driven by the further recovery in demand for food services and a positive contribution from price revisions, sales initiatives of home use products in the frozen and ambient food segment, as well as overseas sales growth in the seasoning segment are also expected to contribute to revenue growth. AOP is focused to grow as a top line growth, I just mentioned offset the significant increase in raw materials and logistics costs. Finally, I'd like to explain shareholder returns for 2024. We have not changed our shareholder return policy. As such, we'll continue to aim at -- aim to enhance and improve shareholder returns by achieving mid to long-term profit growth within the set target for the dividend payout ratio. As shown on the graph on the lower right-hand side, dividend per share has nearly doubled over the past 10 years. While our approach to shareholder returns is centered on dividends we continue to consider implementing a share buyback taking into account our financial position for this year and mid to long-term capital needs. For the year 2023, we plan to pay the dividend of ¥194 per share, which represents a payout ratio of 71.4%. The dividend forecast for 2024 is ¥194 per share which represents a payout ratio of 75.7%. Dividend per share is based on our resource allocation policy and the shareholder return policy, as well as considering various factors including both business performance for 2023 and the forecast of 2024 and beyond. This concludes my presentation. Thank you for your attention. I now hand over to Mr. Terabatake for closing remarks.
Masamichi Terabatake: Thank you, Furukawa-san. In closing, I would like to take a moment to summarize our key messages today. Last year, despite a challenging business environment, we continue to achieve strong profit growth on a constant currency basis, supported by all businesses, notably through pricing, Combustible share gains and HTS volume growth in the Tobacco business, while making investments in each of our businesses that will contribute to sustainable profit growth in the future. Our consistent efforts to date based on the strategy of placing the highest priority on business investment have steadily produced positive results. Consequently, there will be no change in the resource allocation policy based on the 4S model JT Group Purpose during the current business plan period. We will continue to make strategic investment towards HTS in order to grow our presence and the contribution from this segment, gradually building HTS as a second profit growth engine next to Combustibles. As a result, the level of AOP on a constant currency for 2024 will be on par with the previous year, while the pace of profit growth is expected to recover towards the second half of the business plan period and will return to mid to high single-digit growth in the mid to long term. Shareholder returns will also be enhanced by increasing net income through profitable business growth in accordance with our shareholder return policy. Thank you very much for your attention.
A - Unidentified Company Representative: Thank you all. Now, I'd like to start the Q&A session. Let me introduce you to the speakers who will answer your questions as follows, Mr. Masamichi Terabatake, CEO of JT Group; Mr. Hiromasa Furukawa, CFO of the JT Group; Mr. Eddy Pirard, CEO of JTI; Mr. Vassilis Vovos, CFO of JTI; and Mr. Stefan Fitz, CCO of JTI. Next, I will show you how to ask questions. We are afraid we don't accept questions in this English line. If you have any questions, please send an e-mail to jt.ir@jt.com. We will introduce your question accordingly. Thank you for your understanding. Thank you for waiting. The first question comes from Mizuho Securities. Mr. Saji, over to you.
Hiroshi Saji: Thank you for taking my question. I have a question about the UK. Last year, industry volume went down by approximately 16%. It was pretty challenging. And for this year declining trends are likely to continue. Assumptions are set to be single digit, but even so challenges are ongoing. So my question is, it seems that down trading had been happening because of cost inflation. So, Imperial JT originally had a high market share and it was originally of 85% or more market share. And in light of this PMI apparently is growing their market share. So, yourselves have been focusing on bottom line as your strategy in the UK. But when it comes to market share by company, as well as declines in volume, have you been facing any heightened risks because of the strategy? So, can you share your view on the medium-term strategy?
Unidentified Company Representative: So there was a question about down-trading trends in the UK market share between yourselves and competition, as well as the medium to long-term perspective. Stefan will be taking your question.
Stefan Fitz: Thank you for the question. In the UK, the combustibles had last year a double-digit decrease. This is due to several facts. One is that we have an easing of the travel restrictions, compared to prior years we have a lower purchasing power due to inflation in the UK, and we had a lot of several tax increases since the second half of 2021, which were very high. Our strategy has been always to keep our number one position in the UK, which we have, we have about 44.5% share and we are very strong positioned with our -- good brands in the UK. We have no plan in comparison to our competitors in the market share. Our number one position is always about four percentage points above the number two in the UK.
Unidentified Company Representative: Just add a few points from the revenue point of view in this market. So just to demonstrate that we have a very strong brand portfolio, which is well-positioned also to intercept down trading, I think in general terms the market share that we have is not being eroded by the competitors that you mentioned. And we always keep a balance between our market share or revenue equation. As long as we maintain our number one position with a significant gap from the number two, we make some arbitrage with regards to revenue versus market share. And we have to say that despite the big decline of the market in 2023, our revenues are pretty much stable. So we manage to recuperate these revenues stability despite the significant volume decline that you said exactly because we have a strong portfolio and significant capacity to intercept between different segments including fine-cut and cigarettes. Now it is true that in 2024, we forecast a lower market decline single-digit. Now, we also had a very significant increase of the tax in November as you may know. And we have taken a price increase in January. We think that this will help us maintain our projections for the UK in terms of revenues but we may have a market size that is declining more than single digit. It will still be better than 2023.
Unidentified Company Representative: I hope this answers your question.
Hiroshi Saji: Yes it does. Thank you very much.
Unidentified Company Representative: Thank you Mr. Saji. Well over to the next person. From Nomura Securities, Mr. Fujiwara over to you.
Satoshi Fujiwara: Thank you. This is Fujiwara from Nomura Securities. So I'm referring to page 7 of your deck and allow me to ask a question with regard to combustibles. So for the sake of investing in RRP, you would have to continue to grow combustibles as well I understand. So referring to the actual results, I could see that you have grown your market share in a significant manner. And also the share -- in terms of -- the value terms is also growing. So your strength especially your advantage over the competition such as execution capability, brand portfolio strength, I understand those are some of the strength. But that doesn't really help us understand what makes you different against the competition. Please if you could explain. Thank you.
Unidentified Company Representative: Thank you for asking the question. So with regard to the question, the strength of combustibles and also some -- so from Eddy if you could be so kind enough to answer to the question what is the strength of combustibles as compared to the competition?
Eddy Pirard: Of course. Good evening, Tokyo, and thank you for the question. For many years, we have had a strong momentum in our combustible at a competitive position. And I think that part of your question touches upon the fact that there has been a consistency in our level of investment in our equity, a consistency in the level of investment in our capabilities, a consistency in the approach that we have to ladder our portfolio and leverage the brands to the maximum of their capabilities is within the specific market dynamic. And I think that over time what we have demonstrated, I hope is that we have more and more put a focus on consumer centricity, which is really to try to understand where consumers will go where the trends are and what can make somebody switch from one brand to the other. That being said, we've not always been first in innovating. We have witnessed this in some of our markets, but the consistency approach on a portfolio basis across the 120 markets or so that we operate has demonstrated a formula that seems to work. So the momentum is with us. We have the wind in the sale as we say and we hope and see no reason why that momentum should not continue in the years ahead. So before I pass it to Stefan, I have to say that the progress that we have shown to you on Winston and Camel reaching milestone records has been kind of instrumental in demonstrating the strength and the defendability if you will of the brand equities that we've got across the globe. But maybe Stefan there are some things that you want to add.
Stefan Fitz: Thank you, Eddy. You're right we have been building very strong brands. And Winston and Camel LD have proven that over the last years. It's the consistency of the approach. But also I would like to add that the quality of our product is excellent due to our R&D and GSE manufacturing operations and good quality products with very strong brands built over many, many decades that resonates with the consumer and we are very confident to keep on growing our share of market.
Masamichi Terabatake: Fujiwara-san, does that answer to your question?
Satoshi Fujiwara: I just want to follow-up by asking another question. So I think there are a lot of further pricing opportunities down the road. But among the key markets in what specific countries do you think that there is a potential to further hike the price? Is there any specific market that comes up to your mind?
Masamichi Terabatake: So with regard to the follow-up question, Stefan would you mind answering to the question?
Stefan Fitz: Thank you. You're right there is always possibilities for a price increase, but we have to monitor the situation in every market very carefully depending on the tax increases when the tax increases are done and depending on the competitive situation. But it's our strategy to pass on tax increases and wherever and whenever possible to add on some price increases.
Hiromasa Furukawa: Stefan I would like also to add on that. The fact that -- we as mentioned already in the presentation of Eddy we have already secured more than 50% of the pricing of 2024. And we have a very big confidence on the capacity of the Combustible segment to continue taking pricing. And we can see that on the track record of the last years and it's explained also by the fact that in many cases when we analyze the evolution of excise tax it is very frequently at or below the level of inflation. And in many countries now we have -- there has been an adoption of tax calendars which give us some visibility of how the tax will be evolving year after year and creates a better anticipation also for us and for the consumers. So there is a number of countries we can take pricing because there is a very big space of affordability still by the consumers. And already in this beginning of the year we have taken pricing as I mentioned before in many markets. We took in Spain, in France. We have taken pricing in many EMA markets. We have taken pricing in Russia to pass on the tax increase. We have taken pricing in the UK. I think even our geographical footprint there's many opportunities and that's why our revenue algorithm for 2024 includes a strong pricing assumption continuing for the year to come and also in the following year.
Satoshi Fujiwara: Understood. Thank you very much.
Unidentified Speaker: Thank you Mr. Fujiwara. The next person is from Daiwa Securities, Mr. Morita. Over to you.
Makoto Morita: I'm Morita from Daiwa Securities. I have a question about RRP and its share in the market. Last year at the Tobacco Conference Investors compared to then the expansion of the RRP market has it accelerated more than you expected? Or has the expansion -- rate of expansion slowed down? Also in Japan now it accounts for 40% of the market in the not-too-distant future, it's likely to reach 50% of the market. And as you rolled out RRP in various markets, for example, in Europe, or in emerging markets, ultimately, do you think that RRP will account for a similar level of the market like Japan? Or do you think that the characteristics of the market are so different that it will be a little bit lower? So can you talk about your view on the RRP market developments? Thank you.
Unidentified Company Representative: Thank you for your question. So the question was about the expansion speed of RRP and our emerging markets and Europe also going to account for a similar amount of share like it has developed in Japan. Stefan, will take the question. Thank you.
Stefan Fitz: Thank you for the question. I think that the Japanese market is an exception. And you're right, it has reached about 40% of the market in Japan. What we see in other markets is that the HTS segment is growing consistently, but from a very small base. In most of the markets it is in the teens. That means 13%, 14%, 15% share. And in a lot of markets, where it started later is in the 2%, 3%, 4%, 5% share. So we see keep growing. Therefore, we believe it will be the biggest segment of RRP in the future, but the Japanese market is an exception.
Eddy Pirard: Maybe I can add to what Stefan just mentioned. This is clearly something that we are monitoring very closely. And we have decided, as we have explained in the May meeting, that our strategy is very much to grow where the market is quite developed or has the potential to develop quite rapidly. Of the market in which we are already today, only three I believe are having a penetration, which is above the 20%. The development is pretty much broadly in line with our expectations as to how consumers would react to the product. But naturally there is an awareness component to this. There is an availability issue in those markets and this is something that we are constantly reviewing when we decide to do our geo expansion plans and to activate them, we are always looking where consumers are more readily keen to adopt that proposition always the view that we will try to satisfy consumer needs in the markets where we operate.
Makoto Morita : May I ask a follow-up question? So why do you think Japan is an exception? Why do you think the share of RRP has grown that far in Japan? And in other markets like Italy where RRP does account for a higher part of the market, why do you think so? So are there any specific characteristics of a market that has a high RRP ratio?
Unidentified Company Representative: So the question was about what is unique about Japan and for the markets where RRP accounts for a high level in the market. Mr. Terabatake, the President of JT Group will take that question. 
Masamichi Terabatake: Thank you very much for that question. Because your question specifically was about Japan, I would like to take your question. So I have been visiting various markets, including Italy as well as Europe. But it's true that Japan's RRP is about 40% of the market. And when you question the reason why, we do have various types of hypothesis. First of all, people of Japan likes new products. And also from the affordability standpoint, they can afford devices. And low tar products are a big part of the market and menthol products have a high portion of the market as well. And capsule type products can be utilized based on regulation. So that's the backdrop. And also another factor is the smoking environment. For example, in the case of Europe, Combustibles, if you go outside you are able to smoke. And it's clear. But in the case of Japan, whether it's indoors or outdoors, there are some challenging environments where it's hard to smoke. On top of that, if it's not combustible, but if it's heated tobacco products, you can smoke in some environments. So I think other regulations and rules of Japan also have boosted the share of RRP. And because we had the pandemic, when it comes to heated tobacco products, we have been seeing a good development of share growth. It's been growing by 3% to 5% year-after-year, although it varies depending on the year. And for 2024, it's likely that we will reach a 40% market share of RRP. So I just wanted to put that at that point in. I hope that answers your question.
Makoto Morita: For the other countries that have a high ratio of RRP, are there any characteristics that would be Italy if you're talking about other than Japan. So maybe JTI should take that question. Are there any unique aspects in those markets?
Stefan Fitz: Every market is different from a cultural point of view and from the consumers, and we have seen that the HTS segment is growing stronger in markets where there is a light nicotine consumer preference in the market. And of course, also what Terabatake-san mentioned, if there is heavy restrictions for smoking, so the possibility is not that big. The consumer has an easier use of the HTS product.
Makoto Morita: Thank you very much.
Unidentified Company Representative: Morita-san, thank you for your question. We'd like to entertain the next person from Morgan Stanley MUFG Securities, Ms. Miyake over to you.
Haruka Miyake: Thank you for pointing me. I am Miyake from Morgan Stanley. So, I would like to ask a question with regard to HTS deployment. If you could please -- in 2023, I know that you had spread -- you had executed geo expansion. But what went well in terms of your strategy employment in which region of the world, is it because of the price or the flavor? I suppose you have been employing different types of strategy in paving the way in different parts of the world. So if you could give us any kind of specific information as to how successful you were in different parts of the market and with what?
Unidentified Company Representative: So in expanding HTS throughout the world any kind of -- so Stefan, would you like to answer to the question?
Stefan Fitz: Thank you. Our objective is by end of 2026 to cover approximately 80% of the HTS universe. That means the HTS markets are growing over the next years. And in every market the growth is different. That means we have to constantly evaluate also which markets grow stronger and therefore you have a bigger HTS footprint. But of course in our business plan, we have included our expansion to get by the end of 2026 to this 80% coverage, which is a little bit above 40 markets at the moment. But of course, in the coming years that can change, if in some markets the HTS segment would grow over proportionally whereas in other markets it might stagnate a little bit more. And our success over the last six to nine months with our Ploom launches, it was very good because we reached an average 2% share of segment after the first six, seven months in the market. That's very good for a launch. And we have some markets where we reached even more than 3% after six, seven months and some markets where we reached 1%. So, we will follow this up with more geo expansion but also have more expansion in the markets where we're already existing because most of the markets from last year are actually only launch areas, certain cities or areas where we launched. Now after the success of the 2%, 3% we will go into the total market and bring our footprint to the full market expansion in these markets. And at the same time, we'll go and select the new markets over the coming years to achieve this 80% of this coverage for the HTS markets in the world.
Eddy Pirard: Thank you, Stefan. After the Microchip constraint that we had on market launches, as you can imagine, there was quite a bit of excitement from some of our markets to launch HTS. And we went through a substantive effort to try to think about prioritization and maybe Vassilis you can also expand on how we went about deciding which markets to launch and how to make that geo expansion plan the most meaningful possible within the constraints that we have.
Vassilis Vovos: Thank you, Eddy. As we have been expanding Ploom in different markets, of course we have seen different market cases as you referred to. In some markets when we enter, there is already a very developed segment and there is a bigger number of competitors. There's four different competitors by the time we arrive there. In some markets, we saw that as we entered the market there was some significant price competition in an effort to maybe reduce the dynamic of our own proposition. I think we're – in some markets we use different mixes in terms of deployment of our product, different utilization of the key accounts, different utilization of the way we approach the consumer. And we are learning based on all these different approaches, how best to adjust our investment so that the return is the biggest. We don't believe that the pricing is the biggest determinant of the success in this segment. We think that there is much more important element which is linked to the innovation, the utilization, the taste delivery and this is where we are putting continuously our focus in terms of improving. And at the same time when we choose markets, we are looking at the profit pool that is already established and our own projections of what is at stake in this market. So you're right to say we are we have been experimenting in the last six months with different understandings of markets and we have seen different cases and that is helping us improve continuously the way we deploy our investments as we move forward.
Operator: Thank you very much. Thank you for your question Ms. Miyake. Let me introduce the next person. Mr. Takagi from SMBC Nikko Securities.
Naomi Takagi: Good evening. This is Takagi. Can you hear me?
Eddy Pirard: Yes we can.
Naomi Takagi: Thank you. Well this time you set forth business plan 2024, and I have a question about it. So for this year profit growth is likely to be flat year-over-year. And in next fiscal year, as well as the following fiscal year you would like to heighten the growth rates probably mid-single digit or more I presume. I believe that's the level of profit growth you're anticipating. So what is the basis or the backdrop to how you are going to increase profit growth? So is it going to be because of investments around RRP is going to calm down and run its course, which I presume is the reason why. So can you share your view?
Eddy Pirard: Thank you for the question. The question was about during the business plan 2024 profits are likely to be flat year-over-year but in the latter half of the plan why are you anticipating growth in profits? Our CFO Mr. Furukawa will take your question.
Hiromasa Furukawa: This is Furukawa speaking. Thank you for your question. Regarding validity, well I have explained in my slides already but during the business plan we – RRP investments or HTS is necessary. So the investment phase is going to continue. And for Combustibles, it is a big business so we will be focusing on ROI or capital efficiency increasingly so that we can generate more profits. And going forward, RRP products including Ploom X, we will be focusing on volume growth as well as geo growth, so that we could generate more profits and obtain more profits. That is our plan. And that will be the main part – that is the main part behind our profit plan and we would like to go through mid- to high single-digit profit growth over the medium to long-term.
Naomi Takagi: Thank you very much. So hypothetically, let's say that our RRP, doesn't grow in share as much as you have anticipated and you feel the need to invest more, if that were to happen will you still think or do you have a strong commitment towards this kind of growth rate? Are you going to manage it, so that you will be able to enable growth?
Unidentified Company Representative: So the question will be taken by Mr. Terabatake.
Masamichi Terabatake: Thank you very much for your question. So you -- it's a hypothetical question. So what happens if the trends are different from what we've anticipated? So RRP investments that we account for in this plan from our point of view, is pretty sizable. And last year 2023, 2024, 2025 over the three years, I mentioned ¥300 billion for RRP. And in the current plan it's about 1.5 times greater. That's the amount of investments that we've accounted for in this updated plan, meaning a three-year total that is. So it's a little bit over $3 billion. So we have already accounted for a considerable amount of investments in this plan. Therefore, I think when it comes to investments or the plan we do have a certain degree of confidence. So we would like to ensure that -- we believe that there is good momentum for the Combustibles business that will enable us to do so as well. So those are the assumptions that our plans were formulated upon.
Naomi Takagi: Thank you very much for that response. So investment amount wise for 2024, 2025 and 2026 the absolute amount of investments, how much is that going to be?
Masamichi Terabatake: So the three-year balance we don't disclose the breakdown. For 2025 and 20 -- or excuse me 2024 and 2025, because the number of markets are going to grow, because this year is going to be 15% and we'll be going to above 40% by 2026. So we're in the early stages of geo-expansion. So for this year or next year, we do expect the investments are likely to be higher although, we don't reveal or disclose the breakdown.
Naomi Takagi: Got it. Thank you.
Unidentified Company Representative: Thank you, Miss, Takagi. So it is time to close this session. So I would like to bring the Q&A session to a close. So with this we would like to conclude FY 2023 earnings result presentation meeting. Thank you very much for your participation today.